Operator: Good morning. Welcome to PowerFleet’s Third Quarter 2020 Conference Call. Joining us today for today’s presentation is the company’s CEO, Chris Wolfe; and CFO, Ned Mavrommatis. Following their remarks, we will open the call for questions. Before we begin the call, I would like to provide PowerFleet’s Safe Harbor statement that includes cautions regarding forward-looking statements made during this call. During the call, there will be forward-looking statements made regarding future events, including PowerFleet’s future financial performance. All statements other than present and historical facts, which include any statements regarding the company’s plans for future operations, anticipated future financial position, anticipated results of operation, business strategy, competitive position, company’s expectations regarding opportunities for growth, demand for the company’s product offering and other industry trends are considered forward-looking statements. Such statements include, but are not limited to, the company’s financial expectations for 2020 and beyond. All such forward-looking statements imply the presence of risks, uncertainties and contingencies, many of which are beyond the company’s control. The company’s actual results, performance or achievements may differ materially from those projected or assumed in any forward-looking statement. Factors that could cause actual results to differ materially could include, amongst others, SEC filings, overall economic and business conditions, demand for the company’s products and services, competitive factors, emergence of new technologies and the company’s cash position. The company does not intend to undertake any duty to update any forward-looking statements to reflect future events or circumstances. Finally, I would like to remind everyone that this call will be made available for replay in the Investor Relations section of the company’s website at www.powerfleet.com. Now, I would like to turn the call over to PowerFleet’s CEO, Mr. Wolfe -- Chris Wolfe. Sir, please proceed.
Chris Wolfe: Thank you, Shimoli. Good morning, everyone, and thank you for joining our call today. I hope everyone is staying safe and doing well during these challenging times. Our global team of employees and partners are healthy and are continuing to drive the business forward, while we follow countries, state and local health measures. While the pandemic continues to present challenging headwinds in our various geographies, we have seen business momentum pick-up from the lows we saw in Q2. Despite the ongoing challenges, we delivered solid sequential improvements in all of our key financial metrics during Q3. We realized a 7% increase in total revenue, a 6% increase in gross profit and a 71% increase in adjusted EBITDA. These results again demonstrate not only the resiliency of our business and the necessity of our products and services, but also our focus on driving profitable growth. We continue to make very good progress against our strategic initiative of increasing our vertical integration across our product lines, while at the same time judiciously managing costs and realizing efficiencies throughout our organization. Taken together, these measures produced another strong gross margin quarter at 54% and a 4% sequential decrease in OpEx, which drove significant improvements to our bottomline. I will now turn the call over to Ned to discuss our Q3 financial results in more detail. Afterwards, I will discuss our sales and operational progress and outlook. Then we will open the call up for any questions. Ned?
Ned Mavrommatis: Thank you, Chris, and good morning, everyone. Before I dive into the numbers, it’s important to remind you that our financial results for Q3 2020 include consolidated results for both I.D. Systems and Pointer Telocation, which we acquired on October 3, 2019. Keep in mind that a comparable year ago period only includes standalone results from I.D. Systems, Inc. Now with those qualifications let’s look at the numbers. Revenue for the third quarter of 2020 increased to $27.6 million from $25.8 million in the prior quarter and from $16.7 million in Q3 last year. High margin recurring and services revenue was $16.7 million or 60% of total revenue. This was an improvement from $16.4 million or 64% of total revenue in the prior quarter and from $5.8 million or 34% of total revenue in Q3 of last year. Product revenue which drives future services revenue was $10.9 million or 40% of total revenue. This compares to $9.4 million or 37% of total revenue and $11.1 million or 66% of total revenue in Q3 of last year. Gross profit increased to $14.9 million or 54% of total revenue from $14 million or 55% of total revenue in the prior quarter and from $7.6 million or 45% of total revenue in Q3 of last year. Now turning to our expenses. Total operating expenses for the third quarter of 2010 were $14.2 million, down from $14.7 million in the prior quarter. The $14.2 million in Q3 was down 4% from the prior quarter and down 19% from Q1 of 2020. We have additional levers to pull in our expenses to further reduce the cost should the situation with the pandemic worsen. Turning to our profitability measures, GAAP net loss for the third quarter of 2020 totaled $1.7 million or $0.06 per basic and diluted share. This was an improvement from a GAAP net loss of $3.8 million or $0.13 per basic and diluted share in the prior quarter and a GAAP net loss of $2.1 million or $0.12 per basic and diluted share in Q3 of last year. Adjusted EBITDA and non-GAAP metric for Q3 2020 totaled $3.6 million or 13% of total revenue. This was an improvement from adjusted EBITDA of $2.1 million in the prior quarter and adjusted EBITDA of $738,000 in Q3 of last year. The $3.6 million in adjusted EBITDA in Q3 of this year marked the highest level of adjusted EBITDA since the acquisition of Pointer reflecting the leverage in our financial model. Our liquidity position remains strong at quarter end, with $21.1 million in cash and cash equivalents and the working capital position of $31.2 million. Our focus continues to be on working capital management and cash collections. I am encouraged to report that for the nine months of 2020 we generated $5.3 million of cash from operations, which is an improvement from $4.3 million used in operations in the same period of 2019. In summary, we believe our diversified customer base, predictable high margin recurring revenue and prudent approach to cash management will help us ensure we successfully navigate this uncertain times. That concludes my prepared remarks. Chris?
Chris Wolfe: Hey. Thanks, Ned. Our improving financial performance reflects our global teams continued operational execution and building sales momentum. During the third quarter we secured several notable wins in our Industrial business, including Kautex, a top 100 supplier of global automotive OEMs. Kautex is leveraging our next generation PowerFleet enterprise solution to improve safety and efficacy across its global manufacturing centers. After initially installing our solution on all their assets at the Detroit facility they expanded deployment at two additional North American sites. We have exceeded all their expectations and we are now in discussions regarding deploying our solution at seven other European locations. Our end of Q2 win with Ryder Logistics, a leader in outsource Logistics is notable, as they continue to implement a three sites during Q3. Ryder selected PowerFleet for enterprise solution on their forklifts and other material handling equipment within its North American supply chain operations. For those less familiar with our industry, Ryder manages critical fleet, transportation and supply chain functions for more than 50,000 customers, many of which make the products that customers use every day. Over the next 12 months to 18 months Ryder will be deploying our enterprise solution on more than 1,000 pieces of material handling equipment at more than 30 sites across North America. In addition to contracts on Ryder, we had several other successful implementations during Q3, including with the largest Internet retailer implementing it five of its U.S. sites. In Q3, we also signed a master purchasing agreement with Daimler Trucks North America, the leading heavy-duty truck manufacturer in North America. They are currently installing our system at two of their sites with plans to install at their Portland headquarters in Q4 and other locations throughout 2021. In our Logistics segment, we want additional business with two existing customers who are expanding their container and chassis fleets. The first one was with Milestone who purchased approximately 1,000 LV-100 units during Q3, representing a strategic decision to be contracting chassis in their rental business. The other win was with Compass Lease who purchased 500 LV-100s to track assets in their rental side of the business. It’s important to note that both purchases represent a new strategic investment not previously typical of the rental business model in Logistics as it’s usually low cost driven. However, both companies see the value powerfully platforms and using our software and analytics for internal process improvements including enhanced visibility of assets during high demand leasing. Additionally, both companies now can offer their rental clients extended value by providing the same visibility to their assets during the term of the rental contract. We have also seeing the effects of profit increased the demand for both dry van and refrigerated trailers, in turn, this is stimulated demand for tractors and drivers, which has driven in an increased demand for intermodal container capacity, as intermodal options help to move essential goods without tractors and drivers. We are especially excited about a recent -- recently learning that we want a 6,000 container fleet that will leverage our LV-500 solar unit and LV-710 freight camera system that we will begin shipping in Q4. This is the largest win utilizing our LV-500 to-date. Once we receive the purchase orders, we will issue a press release with more details on this great win. Additionally, our customers in the cold chain space have reported an increase in their business, as they move essential food and pharma products. We are currently in 11 field trials with approximately 40% of those associated with refrigerated tracking, command and control. While these field trials represent a 30,000 unit near-term opportunity, these customers represent an additional 130,000 units in potential. While we have had great success with our existing Logistics lineup of products, we continue to not only add new functionality and features, but push innovative boundaries as well. In Q3, we entered the final stages of field trials with what we call our LV-750 weight sensors. This new product will provide customers with solutions that detect mounted and dismounted states progressing to loaded and unloaded and also estimated weight based on the customers required use cases and their price points. On top of this, we have recently entered into beta tests on our dual mode versions of our dry van container and refrigerated platforms the LV-500 and the LV-400, utilizing both satellite and cellular for a wide area communications. These solutions open up additional market opportunities that require communications footprints beyond traditional cellular networks. In addition to new innovations in Logistics, we continuously improve the safety and the security of the capability across our Industrial fleet management product line ups as well. Internationally our Pointer Israel operations had a phenomenal Q3 growing both their historical connected car business, as well as our IoT and Logistics offerings. Our revenues and profits from Pointer as well exceeded pre-COVID levels. One exciting recent development is that our Pointer Israel business unit began business development activities in Dubai following the recent peace deals with the UAE and Israel. We are currently working with several potential partners to assess deploying our solutions in the consumer, rental and vehicle spaces in Arab countries that have signed peace deals with Israel. The vehicle security and fleet markets represent more than a 300,000 unit potential. Our Cellocator Business, which sells products and services outside our core markets saw demand near pre-COVID levels in Q3. This tells us the recovery is global in nature. Also our Mexico operations continue to work COVID impacts and grew at a rate of 13% year-to-date, as we can continue to get strong uptake from our customers Kovack and AXA Insurance. In Brazil, we run three significant deals in Q3 totaling over $4 million in contract value. These contracts are with Petrobras, Raizen and Endocon. Now let’s turn to our rental car business, which has been folded into what we call our PowerFleet for Vehicles here in the United States. In Q3, we saw Avis business recovering and we are currently at pre-COVID monthly billing levels. We also continued discussions with the world’s largest rental car company on doing a large scale field trial of our product in 2021. Looking ahead, our now 570,000 subscriber base provides us with not only a high margin recurring services and subscription revenues, but also good visibility as we enter 2021. This visibility supported by our strong financial foundation with $21 million in cash. On top of this, our consistent cash flow and expanding adjusted EBITDA generation provide us with diversified and stable plan to execute on our growth strategy. While COVID headwinds remain, we see sporadic closures in various countries, we remain confident in our continued ability to execute our strategy and extend our position as one of the world’s leading IoT companies focused on supply chain visibility, fleet management and unique asset and IoT solutions. With that, we have ready to open the call for your questions. Operator, please provide the appropriate instructions.
Operator: Thank you. [Operator Instructions] And our first question is from Mike Walkley with Canaccord Genuity. Please proceed with your question.
Mike Walkley: Great. Thanks. I hope everybody on the call families are safe and well. Chris and Ned congratulations on the strong EBITDA margins. Great to see them return to double-digit levels. Just on the 570,000 subs, I think that’s up 20,000 sequentially. Can you give us just some color where you have seeing maybe the strongest adds in this tough environment, and also on the other side, are you still seeing any customers downsizing just given macro concerns? And then, finally, just based on the sub number, do you expect it to continue to grow absent any kind of economic shock from the pandemic worsening? Thanks.
Chris Wolfe: Hey. Thanks, Mike. As far as the sub growth, it was really across the Board. That’s kind of why we wanted to focus on the win in Brazil, the win in Mexico. Again, I think, a lot of new investors that don’t really know our story, like the Industrial side, you have to keep in mind, we have shipped well over 100,000, probably 140,000 total units in the lifespan of that. Well half of those are not on recurring today. So, again, as we get customers to refresh those all go on to recurring. So I think it’s just a broad based recovery, which is great to see and so that wasn’t really one shine out a massive deal that brought in a lot of subscribers.
Mike Walkley: Great. Thanks. And Chris just PowerFleet for Logistics, you mentioned those two customer wins. Can you provide maybe more color on, who you beat out to win the deal? Why they chose you and what that potential opportunity can be for PowerFleet?
Chris Wolfe: Yeah. The two customers, well, we mentioned, those are actually existing customers, but this is new business with them. And just so everyone knows, typically those are put out for bid, it just anybody running a Logistics company or leasing company. You always put your new business out for bid. I can’t go into who we have competing against but we definitely had to compete for that business. And I think obviously being an entrenched provider helped us, but again they put us through the paces. I think the opportunity with them is and what you have seeing, as I mentioned before, there is uptake demand for trailers, uptake demand for containers. Well, if you have a container you have to have a chassis. And so the leasing companies that are actually leasing this equipment to take care of that excess demand. The more demand there is obviously the more opportunity for us to grow. And we will just grow with our customers. Matter of fact that container fleet that I mentioned the 6,000 LV-500s. I mean that’s a monster win for us. That’s a brand new fleet to put it in context. That is not an existing fleet. This is a brand new container fleet that’s going to be hitting the road.
Mike Walkley: That sounds great. And one last question for Ned and then I will pass the line here. Ned very strong services in hardware gross margins in the quarter. Was there anything special in the mix or these trends we should expect to continue? And while I know you have not giving guidance just kind of based on the pipeline, would you expect both those businesses to potentially grow sequentially? Thank you.
Ned Mavrommatis: Yeah. So if you look at the service gross margins, Mike, we have those are going to remain strong at this levels going forward and they have going to continue to improve as we grow the service revenue. The product margins tend to fluctuate a couple of percentage points based on product mix. We did have very good product mix during this quarter. Also the reason we did the acquisition of Pointer and Cellocator is to be vertically integrated and really control our gross margins and you have starting to see that benefit hit the product margins. That’s why we have proud of our gross margin performance in the quarter.
Mike Walkley: Okay. And then growth the next quarter, any comment or just kind of no guidance for now?
Ned Mavrommatis: At this point, we have not giving any guidance. But as obviously, Chris mentioned in the prepared remarks, we feel very good what we have seeing about the business. Obviously, we have concerned with COVID or some of the economies globally are beginning to shut down again. But so far the pipeline in our sales activity is very positive.
Mike Walkley: Right. Congrats again on the execution and I will pass the line.
Chris Wolfe: Thanks Mike.
Ned Mavrommatis: Thanks Mike.
Operator: And our next question is from Jaeson Schmidt with Lake Street. Please proceed with your question.
Jaeson Schmidt: Hey guys. Thanks for taking my questions. Just curious if you could comment on sort of the linearity of order patterns you saw in Q3 and any additional color you could provide on what you have seeing from order momentum here in October and here in November?
Chris Wolfe: It’s kind of interesting that, as I mentioned before, even with our subscriber growth, it’s kind of across the Board. And to be honest with you that’s great to see, because that tells you to the run rate business is recovering. If you look at our -- what we call our dealer network channel here in the United States, many of you know that we have -- we do business with 500 dealers that actually sell our products here in the states. That’s like our Young Heinrich channel in Europe. We have sold that -- that business actually recovered at pre-COVID levels during Q3, which that’s awesome. On the strategic side, which we won some huge strategic deals, we still -- we have starting to see that recover. That’s where it was most impacted in Q2 and when we say strategics, that’s large companies that we deal directly with. So a lot of them put off their capital expenditures in Q2 because of COVID. We have starting to see that recover. And to put it in context that was well over $11 million in business that basically kind of put on hold. Now that being said we have starting to see that come back. I think what Ned said is true. Like Israel shutdown for three weeks at the end of Q3. Thank goodness it was during -- they could -- I think it was happenstance, but it was like right during their holiday time. So it’s really minimal impact. But you have also seeing Germany being impacted. That has not impacted us as of yet with Young Heinrich and the U.K. is shutting down again. So I think the uncertainty is the only thing that, I would say is, we have seeing the momentum pick up across the Board, but it’s just that what could happen, and as long as we see the strategic deal starting to come in, we feel a lot better about like Q4 and going into next year.
Jaeson Schmidt: Okay. That’s really helpful. And then looking at your large online retailer customer here in the U.S., I know that’s really driven by your partnership. But how should we think about the potential trajectory of a further rollout. Would we expect a further expansion here in Q4 and throughout 2021?
Chris Wolfe: We have visibility into some of that. I am not at liberty to go into the details. That being said is, we have seen the momentum pick up there over the last year or even in the mist of COVID you know with our partner and I think we have going to continue to see that in 2021. I mean, again, what we have hearing is, that large retailer or online retailers looking to winning down or narrow down their choices in telemetry. Right now they actually pick a telemetry unit depending on the forklifts they pick at different sites. We see that continuing. But I think they have starting to be very selective and so we think that actually bodes very well for us next year.
Jaeson Schmidt: Okay. And the last one for me and I will jump in back into queue. Ned, how should we think about OpEx here in Q4? I know you mentioned there is additional levers to be pulled if needed depending on the macro situation, but is OpEx going to remain relatively flat?
Ned Mavrommatis: Yes. Our goal is to really maintain the expenses flat at this level, and obviously, you see as the revenue grows a lot of that goes right to the bottomline?
Jaeson Schmidt: Okay. Perfect. Thanks a lot guys.
Chris Wolfe: Thanks Jason.
Operator: And our next question is from Gary Prestopino with Barrington Research. Please proceed with your question.
Gary Prestopino: Hey. Good morning Ned and Chris.
Chris Wolfe: Hi, Gary.
Gary Prestopino: Chris, I thought I heard you say, you have 100,000 units that have been shipped, but are not reflecting any kind of revenue on the services side, is that correct?
Chris Wolfe: Yeah. Let me make sure that’s very clear. So, historically, I.D. Systems used to sell only Industrial vehicles, right? I mean, this is we have talking back in the dark ages.
Gary Prestopino: Right.
Chris Wolfe: Well, prior to four years ago, every unit that was shipped there was not -- was -- did not have recurring and we have talking customers like, Ford, Walmart on the dock, I mean on their distribution centers, the United States Postal Service. I mean, there’s…
Gary Prestopino: Right.
Chris Wolfe: …a lot of customers, all those didn’t -- some do pay as a maintenance fee, so I don’t want to. But the preponderance of those units is roughly about half of what we shipped, it’s about 50,000 units do not pay us or recurring. Now those are in refresh cycle and that -- we have talked about that before, but now it’s obviously because of end of life on product -- technology and upgrade cycles. It’s getting to where they have to upgrade. And so it’s about 50,000 units that usually the ARPU on that’s about $10 a month.
Gary Prestopino: Okay. But that’s the -- I am trying to understand that that’s not a lock that they have going to move over into the services side and start paying you recurring revenue?
Chris Wolfe: No. It’s not a lock. But again, I -- it’s I think our -- so many in the 70% range or whatever will move. I mean, they have -- it’s just they like the product…
Gary Prestopino: Okay.
Chris Wolfe: …they get value out of it. Yeah.
Gary Prestopino: Great. All right. And then I apologize for this, you went through this so quickly. In terms of some of the new business awards in the quarter in Logistics and Industrial, it is -- would it be too much to ask just to go through that again just a little bit slower here?
Chris Wolfe: Well, again, with the…
Gary Prestopino: With some of the key ones, Chris, some of the key one, obviously.
Chris Wolfe: Okay. Okay. So with -- again, all of those deals were signed that not initially shipped. I hope that’s clear. So…
Gary Prestopino: Right.
Chris Wolfe: … Kautex we have, started implementing sites, right? We implementing Detroit and we implemented two North American and now there’s…
Gary Prestopino: Right.
Chris Wolfe: … seven more sites across Europe. On Ryder Logistics, I think, we have about six sites -- six or seven, because again it’s very fluid. We actually start installations almost every day and their total rollout next year will be 30 sites in total. So we have about 24 sites to go and we have barely touched the 1,000 unit total and everyone needs to keep in mind that that retail price of that products like in the $1,600 range, about $1,600. Yeah, it’s not a $200 tracking in it, right? And then on the Logistics side, there was three major deals, one just recently right prior the quarter close, but the two were those extensions of fleets that we currently are in and as we have -- which is about 1,500 units and then the 6,000 unit order, we just got notified of just literally as the quarter close.
Gary Prestopino: So you got a 6,000 unit. I sorry, would you say a 6,000 unit order?
Chris Wolfe: Yeah. 6,000 order of our LV-500 in freight cam, which is our high end …
Gary Prestopino: Okay.
Chris Wolfe: … product, right?
Gary Prestopino: Great. So, it seems to me that you have really starting to see a lot of momentum there just overall. And I guess a lot has changed with the perception of the company since the Pointer acquisition in the market. Is that a fair statement?
Chris Wolfe: Yeah. I think it’s a fair statement. I think more than that is, these field trial -- if it wasn’t for COVID, again I think it -- it’s about a six-month impact, right, field trial…
Gary Prestopino: Right.
Chris Wolfe: … installed, I think people are seeing the value. I mean once Dan and Ross signed this summer, that that’s a huge name, people who doesn’t know who they are. And so we started getting a lot more inbound inquiries once you get those kind of wins.
Gary Prestopino: That’s good. I mean especially in this environment you to be winning new businesses is great. All right. Thank you so much.
Chris Wolfe: Okay. Thanks Gary.
Operator: [Operator Instructions] Our next question is from Glenn Mattson with Ladenburg. Please proceed with your question.
Glenn Mattson: Hi. Thanks for taking the question. Great quarter. Ned quick, just on the cash flow, remind me the priorities going forward. Is it -- you have going to look to pay down debt quickly or what’s the use of cash?
Ned Mavrommatis: That’s correct, Glenn. Our goal is really to continue to pay down the debt. If you look at our working capital we have $21 million in cash, strong working capital improved versus the prior quarter and we have generated $5.2 million in cash flow from operations and we will continue paying down the debt. There’s also one thing…
Glenn Mattson: Great. Thanks.
Ned Mavrommatis: …I want to point out on the debt, sorry about debt, one thing I want to point out on the debt. We close the debt about a year ago since then the interest rate environment has gone a lot better. So we have looking at opportunities where we have able to reduce the interest on the debt, which would -- will be a very positive thing which hopefully get it done in the next couple of quarters and we should announce that when we get it done.
Glenn Mattson: Great. And then on the deferred revenue how do you -- how should we think about that. It was down a little bit sequentially. But obviously business is strong. But just maybe there -- is there some dynamic there that drives the lower seasonally or is there difference in that. How does the booking works or something like that?
Ned Mavrommatis: The deferred revenue shouldn’t have any real impact, if you look at our business model, we usually get paid for the hardware upfront and the services we invoice and collect them monthly. So in certain cases, we have certain customers that prepay. So you have going to might see the deferred revenue go up and down. But it should not have -- it should not be an indicator of future businesses.
Glenn Mattson: Great. Thank you. And then, Chris, just stepping back for a minute and looking at, like, taking an assessment. It seems the business is doing really well. The Pointer acquisition has been integrated at this point. It’s the costs have, like a lot of them have taken out, there’s been this pandemic in between when you signed the deal to now. Maybe could you just kind of point out like where you think you hit the mark or exceeded on your initial expectations or where there’s still room for improvement over the next whatever period of time six months or a year or so how we will look about that?
Chris Wolfe: Okay. Yeah. It’s a great question. So on our IT integration in various aspects of our -- what we have done on IT consolidating tenants, et cetera, that’s been phenomenal. By the way that’s actually helped us work more efficiently across the globe. So hats off to that team. And they also have been working on what we call financial consolidation, which has enabled us to, obviously, we have operations around the globe. So it’s like helping us just be more efficient and closing the books. That all being said, supply chain and operations, we have seen significant savings there. A lot of its volume driven. So as volumes go up, they will even be more savings that which has been great. So I think our team there’s just been doing phenomenally well. We have already integrated and we have a beta of our analytics platform. So with the part of it is platform consolidation, which takes more time. And so the analyst platform is currently in beta, so once we get that done we will see some additional cost savings there, then it will be our other platforms as we consolidate through next year. There’s about another $1 million in savings, as we get our software platforms consolidated. Now when I say that, I just want people to realize from an end customer perspective they might not even know we have consolidating the platforms, right? Because you can actually the front-end and the back-end, how you integrate and what they see, the customer might not even care as long as it’s secure and the data is delivered as it needs to get there and stable. So our goal is to make it transparent to the customers and at the same time get the cost savings out over the next year of the consolidation.
Glenn Mattson: Great. Thanks. Good color. That’s it for me. Congrats on the quarter.
Ned Mavrommatis: Thanks, Glenn.
Operator: And we have reached the end of the question-and-answer session. I will now turn the call over to the CEO, Chris Wolfe for closing remarks.
Chris Wolfe: Yeah. Thank you for joining us today. I’d like to thank our employees for their diligent efforts and great results. Our customers were putting their trust in our products and services and our investors for their support of our vision. Please stay healthy and we look forward to speaking to you again soon. Operator?
Operator: Thank you for joining us today for our presentation. You may now disconnect.